Operator: Good morning, ladies and gentlemen. And welcome to the Church & Dwight Second Quarter 2021 Earnings Conference Call. Before we begin, I have been asked to remind you that on this call, the Company's management may make forward-looking statements regarding, among other things, the Company's financial objectives and forecasts. These statements are subject to risks and uncertainties and other factors that are described in detail in the Company's SEC filings. I would now like to introduce your host for today's call, Mr. Matt Farrell, Chief Executive Officer of Church & Dwight. Please go ahead, sir.
Matt Farrell: Good morning, everyone. Thanks for joining us today. I'll begin with a review of the Q2 results and then I'll turn the call over to Rick Dierker, our CFO and when Rick is done, we'll open up the call for questions. But before we begin, I'd like to recognize all Church & Dwight employees around the world for their continued dedication to keeping our Company going during the pandemic, especially our Supply Chain and R&D teams as during this quarter, the Company faced the complexities of raw material shortages and labor shortages at our suppliers and third-party manufacturers. Now, let's talk about the results. Q2 was another solid quarter for the Company. Reported sales growth was 6.4%. Organic sales growth grew 4.5% and exceeded our 4% Q2 outlook. The 4.5% organic growth is impressive considering Q2 2020 organic sales growth was 8.4%. Adjusted EPS was $0.76 and that is $0.07 better than our outlook. The EPS beat is attributed to two things, one, a temporary reduction in marketing and two, our revenue growth handily exceeded our outlook. Another item that is noteworthy is we overcame a tax rate, which was much, much higher than expected in Q2. We grew consumption in 13 of the 16 categories in which we compete, and in some cases on top of big consumption gains last year. Another way to look at this is to compare our Q2 consumption on those 16 categories to 2019, a pre-COVID year. We have higher consumption in 14 of those 16 categories compared to Q2 2019. Regarding brand performance, 9 of our 13 brands saw a double-digit consumption growth and I'll name them for you. Gummy vitamins, stain fighters, cat litter, condoms, battery powered toothbrushes, depilatories, dry shampoo, sailing spray, and water flossers. Now, although many of our brands delivered double-digit consumption growth, It is not reflected in our 4.5% organic sales growth, as shipments were constrained by supply issues, which we do expect to lessen by Q4. In Q2 online sales as a percentage of total sales was 14.2%. Our online sales increased by 7% year-over-year. But remember, this is on top of the 75% growth in e-commerce that we experienced in Q2 2020 versus 2019. We continue to expect online sales for the full year to be 15% as a percentage of total sales. With 70% of American adults having at least one vaccine shots so far, the US has been opening up with consumers becoming more mobile. In recent days, however, it appears that trend could slow down due to the delta variant combined with many people still being unvaccinated. Outside the US, many countries continue to enforce periodic lockdowns and we expect that to continue. As described in the release, we face shortages of raw and packaging materials, labor shortages that suppliers and third-party manufacturers have reduced their ability to produce and transportation challenges have further contributed to supply problems. Besides shortages, we are dealing with inflation. Significant inflation of material and component costs is affecting our gross margin expectations, which Rick will cover in his remarks. Due to a lower case fill rate, we pulled back on Q2 marketing, especially for household products. We expect the supply issues to begin to abate in Q4. The higher input costs and transportation costs are expected to continue though for the rest of the year. On past earnings calls, we've described how we expected categories and brands to perform in 2021. Overall, our full year thinking is generally consistent. To name a few categories. demand for vitamins, laundry additives and cat litter is expected to remain elevated in 2021. Condoms, dry shampoo, and water flossers are recovering and experiencing year-over-year growth as society opens up and consumers have greater mobility. Baking soda and oral analgesics are expected to decline from COVID highs. I'm going to talk about the divisions. Consumer domestic business grew organic sales 2.8%. This is on top of 10.7% organic growth in Q2 2020. Looking at market shares in Q2, 5 out of our 13 power brands met or gained share. Our share results are clearly impacted by our supply issues. I'll comment on a few of the brands right now. VITAFUSION gummy vitamins saw great consumption growth in Q2, up 10%. Consumers have made health and wellness a priority. It appears that new consumers are coming into the category and they're staying. So here's a supporting statistic. In the last year, VITAFUSION household penetration is up 17%. That means the brand is now in one out of every 10 households. Next up is WATERPIK. WATERPIK grew consumption 72% in Q2 as it continues to recover from COVID lows and benefits from the heightened consumer focus on health and wellness. WATERPIK is also benefiting from dental offices returning to pre-COVID patient levels. We expect the frequency of our lunch and learn program to return to normal levels in the second half of this year. BATISTE dry shampoo grew consumption 37%. Dry shampoo is recovering as stores have reopened and consumers that are becoming more mobile. Similarly, TROJAN delivered 11% consumption growth. Society has been opening up. As restaurants, bars and clubs have reopened, people are hooking up again. Here's a fun fact that might be a contributing factor. In Q2, TROJAN launched on TikTok with explosive uptake from consumers with over 47 million views. Next, I want to discuss International. Despite intermittent lockdowns in our markets, our International business came through with 10.4% organic growth in the quarter, primarily driven by our strong growth in our Global Markets Group. Asia continues to be a strong growth engine for us. WATERPIK, BATISTE, and ARM & HAMMER led the growth for the International division in the quarter. Our specialty products business delivered a positive quarter with 11.8% organic growth. This was driven by higher pricing and volume. Milk prices remain stable and demand is high for our nutritional supplements. The prior year quarterly organic growth for specialty products was 3%. So 11.8% is an impressive result. Now, turning to new products. Innovative new products will continue to attract consumers. In 2021, we have launched many new products, which are described in our press release. In the household products portfolio, we introduced OXICLEAN Laundry and Home sanitizer. It's the first and only sanitizing laundry additive that boost stain fighting and eliminates 99.9% of bacteria and viruses. In the personal care portfolio, VITAFUSION launched Elderberry gummies, Triple Immune gummies, and POWER ZINC gummies to capitalize on increased consumer interest in immunity. WATERPIK launched WATERPIK ION, a water flosser, which is 30% smaller with a long-lasting lithium-ion battery. It is specifically designed for smaller bathroom spaces. To capitalize on its earlier success, WATERPIK SONIC-FUSION, the world's first flossing toothbrush, was upgraded to SONIC-FUSION 2.0 with two brush head sizes and two brush speeds and that's doing extremely well. And finally, FLAWLESS is taking advantage of the at-home beauty and self-care trends with at-home manicure and pedicure solutions. Now, let's turn to the outlook. Since we last spoke to you in April, unplanned cost inflation has grown by another $35 million. In addition to the price increases on 33% of our portfolio that we announced in April, we have just announced price increases on other categories, which means we have now priced up 50% of our portfolio. Of course, there is a lag on the positive impact of these increases, which impacts our earnings outlook. We now expect to be at the lower end of our range of adjusted EPS growth of 6% to 8% as a result of heightened input costs. Although we expect to be at the low end of the range, It's really important to remember that we are comping 15% EPS growth in 2020. We expect full year reported sales growth of 5% with 4% full year organic sales growth. It's also important to call out that we are committed to maintaining the long-term health of our brands by ensuring sustained high levels of marketing investment in the second half. In conclusion, July consumption continues to be strong. We are navigating through significant supply challenges and cost inflation. We believe we are well positioned for 2022 with the pricing actions we have taken. We expect our portfolio of brands to do well, both in good and bad times and in uncertain economic times, such as now. We have a strong balance sheet and we continue to hunt for TSR accretive businesses. Next up is Rick to give us details on Q2.
Rick Dierker: Thank you, Matt, and good morning everybody. We'll start with EPS. Second quarter adjusted EPS, which excludes the positive earn-out adjustment was $0.76, down 1.3% to prior year. And as we discussed in previous calls, the quarterly earn out adjustment will continue until Q4, which is the conclusion of the earn-out period. $0.76 was better than our $0.69 outlook, primarily due to continued strong consumer demand for many of our products as well as a temporary reduction in marketing spend as supply chain shortages were impacting customer fill rates, which we expect to recover in Q4. The $0.76 includes a $0.04 drag from a higher tax rate and a $0.04 drag from the VMS recall cost. Reported revenue was up 6.4%. Organic sales were up 4.5% driven by a volume increase of 4.3%. Matt covered the topline and I'll jump right into gross margin. Our second quarter gross margin was 43.4%, a 340 basis point decrease from a year ago. This was right in line with our outlook for down 350 basis points for the quarter. Gross margin was impacted by the 480 basis points of higher manufacturing costs primarily related to commodities, distribution, and labor costs. Tariff costs negatively impacted gross margin by an additional 50 basis points. These costs were partially offset by a positive 40 basis point impact from price, volume mix, and a positive 140 basis point impact from productivity programs as well as a 10 basis point positive impact from currency. Moving to marketing, marketing was down $5.3 million year-over-year as we lowered spend to reduce demand until fill rates could recover. Marketing expense as a percentage of net sales decreased to 100 basis points to 9.2%. We continue to expect full year marketing expense as a percentage of net sales to be approximately 11.5% in line with historical averages. For SG&A, Q2 adjusted SG&A decreased 140 basis points year-over-year with lower legal costs and lower incentive comp. Other expense all in was $11.4 million with $3.3 million decline to the lower interest expense from lower interest rates and for income tax, our effective rate for the quarter was 24% compared to 19.6% in 2020, an increase of 440 basis points, primarily driven by lower stock option exercises. You will hear in a minute, this also impacts our full year tax rate. And now to cash, for the first six months of 2021, cash from operating activities decreased 42% to $344 million due to higher cash earnings being offset by an increase in working capital. Accounts payable and accrued expenses decreased due to the timing of payments. As a reminder, in the year-ago numbers, there was an $80 million benefit in Q2 related to the timing of US federal income tax payments shifting from the second to the third quarter in the prior year. We expect cash from operations to be approximately $950 million for the full year. As of June 30, cash on hand was $149.8 million. Our full year CapEx plan is now $140 million as we continue to expand manufacturing and distribution capacity, primarily focused on laundry, litter, and vitamins. The decrease from our previous $180 million is project timing related. For Q3, we expect reported sales growth of approximately 3%, organic sales growth of approximately 1.5%, entirely due to supply chain constraints. We expect gross margin expansion in the quarter, led by our price increases. Adjusted EPS is expected to be $0.70 per share, flat in the last year's adjusted EPS. Our strong operating performance is offset by higher tax rate. And now for the full year outlook. We now expect full year 2021 reported sales growth to be approximately 5%, organic sales growth to be approximately 4%. Our consumption is strong and outpacing shipments. We expect our customer fill levels to improve by Q4. Turning to gross margin, we now expect full year gross margin to be down 75 basis points. This represents an incremental impact from our last guidance due to broad based inflation on raw materials and transportation costs. Our April outlook expected gross margin to be flat for the year, and $90 million of inflation from our original guidance. Now, we're absorbing $125 million of incremental costs for the full year. This additional $35 million of inflation drives the change in our gross margin outlook. We've taken another round of pricing actions with over 50% of our global brands have announced price increase. While some of this benefit helps the second half of 2021, most of the benefit is in 2022. As a reminder, we price to protect gross profit dollars, not necessarily margin. The $35 million movement versus our previous outlook is primarily non-commodity related; transportation, labor, third-party manufacturers and other raw material price increases, make up the majority. Commodities are also up and while we have 80% of our commodities hedged, let me give you a sense of what's going on with major commodities. Over the past few months, second half expectations for resins have moved up considerably. For example, previously in our forecast was based on HDPE being up 30% in the second half of the year, now, it's up 60%. Polypro has moved from being up 40% to now 90%. In addition, transportation costs such as diesel have continued to rise. We previously expected second half diesel to be at 18%, now it's of 27%. Cartons and corrugate previously were single-digit, now they're low double-digit. So that's the latest thinking on commodities and now, we'll move to tax. Our full year tax rate expectations are now 23%, higher versus our last expectations due to lower stock option exercises. This is a $0.04 drag versus our previous outlook. We now expect adjusted EPS to be at the lower end of our previous range of 6% to 8%. Our brands continue to go from strength to strength, as strong consumption and organic sales growth lapse almost 10% organic growth a year ago. While inflation is broad based, we have taken pricing actions to mitigate, which gives us confidence in margin expansion in the back half. And with that, Matt and I would be happy to take any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Kaumil Gajrawala with Credit Suisse. Your line is open.
Kaumil Gajrawala: Hi, thank you, good afternoon and good morning or whatever it is. And couple of questions on the supply constraints, which is are you running into constraints because perhaps demand is better than you thought you can keep up, is it that there are certain pieces within the supply chain that just tightened up, maybe a particular bottleneck that's isolated? Can you just maybe just give us a bit of, maybe more detail on the exactly what's going on there?
Matt Farrell: Yes. The issue is not that we're capacity constrained. We have capacity. The issue is getting components. It can be a raw or packaging materials, chemicals, et cetera. And the reason there are shortages because our suppliers are having trouble getting labor into their plants to actually make their raw and packaging materials and then that's exacerbated by the fact that sometimes you can't get the product delivered and particularly if you're having -- if you're sourcing components or ingredients from Asia and you're dealing with containers, so not a capacity issue. It's entirely due to the ability to get labor and in some cases, it's -- because of the freeze, we had force majeure for a half a dozen of our suppliers, chemicals. If you recall, earlier in the year the Texas freeze, so we're not quite out of the woods on that one yet either.
Rick Dierker: Yes. The only thing I would add to that is the force majeure comment, like we said publicly back in Q1, we had around six of them. We had 10 or 11 this quarter. So just pure disruptions in the supply chain.
Kaumil Gajrawala: Okay, got it. Maybe just your best guess on, is the labor issue abating at all or are these comments related to 2Q and maybe you're seeing it abate or does it seem -- is this your view that it's likely to be an ongoing thing?
Matt Farrell: Well, it's -- we think it's starting to abate. We're seeing that from some of our suppliers and co-packers. It's -- you have to say that the weekly unemployment supplement is contributing to the labor shortages and of course that's going to roll off in September. So you think that things would loosen up a bit come in the fourth quarter.
Rick Dierker: Yes. And we look at demand planning all the way back to the entire supply chain and all of our independent forecast say that the raw material input costs and whatnot will recover late Q3, early Q4.
Kaumil Gajrawala: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Rupesh Parikh with Oppenheimer. Your line is open.
Rupesh Parikh: Good morning and thanks for taking my question. So I just wanted to have -- I also have few questions on the supply chain disruptions. Anymore color you can provide in terms of what categories are impacted. And then as you think about the adjustment to your organic sales growth guidance for the year, is it fair to say that maybe it could have been raised. If you didn't have the supply chain disruptions?
Rick Dierker: Yes. That's a fair question, Rupesh. I think could have, would have. should have -- but consumption is really strong. Matt said it in his prepared comments, and I did as well. And so if you look at consumption. It's really high single digits in the quarter and we were closer to 2.8% organic. So, definitely, we are constrained. And if you roll that forward to the full year, then we would have been at the top of the range on revenue. If not for supply chain disruptions.
Matt Farrell: Yes, Rupesh. To answer the other half of your question, if you pick up the release and you look at the schedules in the back and I'm sure you have, you'll see that household products is down year over year and so that's where it's most acute. So fabric care shipments are constrained by supply shortages and we have plenty of demand out there, but the shortages are affecting the household side of the business, which would include both laundry, detergent, stain fighters and litter. So we do expect that we will be out of the woods by the end of the third quarter.
Rupesh Parikh: Okay, great. And then I guess, some of your retail perspective as you go to -- I know if you look at your leading retail is Walmart and some of the other players -- are they're starting to be out of stocks out there or do you expect to see out of stocks I guess sometime this quarter within some of those categories?
Rick Dierker: I think we've got, kind of live in hand to mouth right now. If we were to get most worse than what we have today. I think we would have out of stocks. I think our great -- most acute area for out of stocks would be OXICLEAN sprays right now, the triggers.
Rupesh Parikh: Okay. That's really helpful. Thank you very much.
Operator: Thank you. Our next question comes from Kevin Grundy with Jefferies. Your line is open.
Kevin Grundy: Hey, good morning guys. Question for both you on pricing. Matt, I think the comment was that you've now will price over 50% of the portfolio. A couple of questions related to that, but it would certainly seem like there is a cost justification across the board. Have you lead where you can lead at this point? Is there an expectation then that the competition will ultimately move and that's not in the guidance? Maybe just some parameters, a little bit around what has not been priced and why not at this point. And then Rick, maybe just layer on there, what portion of the commodity cost exposure over the next 12 months you think you have captured here with current pricing?
Matt Farrell: Yes. Well, you hit the nail on the head, Kevin. Price increases, you need cost justification. They are greater in some categories than others, but you also have to keep an eye on the competitive set. So we are looking at the rest of the portfolio now to see whether it makes sense to have a 2022 price increase. And also what we're going to do is we're going to review the price increases that we've already taken on the first 50% and ask ourselves if those need to be revisited. As far as the price increases go we announced in April for laundry, those are taken effect now in July. We know at least one other competitor has said publicly that their prices are going up in Q4. So we may have some temporary price gaps in Q3. But -- and then on the litter side, we raised price there. That pricing hits shelf mid-October. And we know that one major competitor has already raised price as well. So, we've seen that and I think Rick mentioned on the earlier call in April that when we were planning this, we were not assuming that competitors would follow. So the fact that since then in the laundry and litter, we've heard and seen that from a couple of competitors, that's a good indication for us. Rick, anything to add?
Rick Dierker: [Indiscernible] add is on your first question, Kevin, you just asked for kind of a roll forward for 2022. And the simple way to think about it is, when we gave our April outlook, inflation was a minus 300 basis points and that was what was included in our flat guidance. Now, our inflation number is closer to minus 375 that's kind of the entire change from going flat to minus 75 and that minus 375 for the full year, it's kind of indication of the inflation that we've seen for the whole year and inclusive of the first 90, inclusive of the new $35 million that we're talking about. As we exit the year, we think price volume mix will be a tailwind of like 285 basis points. So that's probably a good gauge it is, we're not quite recovering in all of our inflation yet, but we've only priced half the portfolio.
Kevin Grundy: If I could just squeeze in one more guys, maybe just on M&A, the pipeline, and if I think about the volatility, which certainly, I think we would say would be transitory over the next call -- two to four quarters your supply chain, working through some of the COVID volatility et cetera. At least, certainly, that would be the hope. Does any of that give you pause with transacting from an M&A perspective until things kind of settle a bit and I'll pass it on. Thank you.
Matt Farrell: Yes. To your question, Kevin, would we reluctant to buy a business that had a COVID bump?
Kevin Grundy: Just in general, Matt, just in terms of even buying off putting multiples on NTM sort of earnings and right, just given some of the volatility around supply chain, this COVID flare up here a little bit, you guys have done a fantastic job over the years from an M&A perspective, but even that being said, does that gives you some pause here given some volatility over the next 12 months?
Matt Farrell: Yes, well, look we are wary of businesses that had a big COVID bump. Remember we bought one in December when we bought ZICAM who are one in cold shortening, 73% market share and we bought that for the future because we know that's going to be a strong contributor to sales and profits, not only in 2022 but years ahead. So, yes, we will have a degree of skepticism but we -- I can tell you there are things for sale right now that we are looking at. It's a question whether they're going to meet our criteria.
Kevin Grundy: Got it. Good luck, guys. Thank you.
Matt Farrell: Okay. Thanks, Kevin.
Operator: Thank you. Our next question comes from Olivia Tong with Raymond James. Your line is open.
Olivia Tong: Great, thanks, good morning. Wanted to ask you a little bit about your view on trade promotion and the levels of trade promotion right now, particularly as you put it in the pricing. If you could just talk through first few weeks of impact of that, I know it's very early days with respect to laundry and but any retail response, consumer response so far that you can see. And then for the second tranche of pricing, if you could just talk to the magnitude of change that you're looking for there, that would be great. Thank you.
Matt Farrell: Yes. Thanks, Olivia. So your second question first, we won't really get into the magnitude of change right. We will be very clear next quarter after its end market and we'll disclose some of what we did for laundry. You know, laundry was high-single digits, and so we'll do the same thing for litter and some of the other items. In three months, we'll go through that detail. On your first question, yes with respect, it was sold on deal, it's a little early to draw any conclusions about what's going on at shelf. I think it's important to have the backdrop of Q2 for both laundry and litter. Take litter, for example, year-over-year sold on deal for litter was actually down 80 basis points of the categories right now, promotion in the second quarter around 13% sold on deal. Historically, it's around 19% to 20% and so it's pretty off, it's normal sold on deal percentages. So, but we do know that one major competitor besides ARM & HAMMER has had supply issues as well. In the second quarter, which I'm not going to name. So that may have contributed to the fact that litter sold on deal was down in Q2 for just about our all competitors. For laundry, Q2 was up almost 1,200 basis points to about 32% sold on deal for a liquid laundry detergent. Remember last year promotions were pulled. So it's not surprising that there would be a rebound this year. We actually had the lowest increase in sold on deal, up 700 basis points in Q2, and our lower promotions made sense in the context of supply shortages and obviously going forward, we wanted the price to stick so promotions will also be limited as well.
Rick Dierker: And as to the price increase and again it was early July. so It's only been a few weeks. So we're reluctant to comment, I would just tell you that it's as we expected to date.
Olivia Tong: Got it, thanks. If I could just ask two more questions. First, in terms of your sales guide -- that change to the sales guide. Obviously, some supply chain and disruptions but specialty was actually a quite a bit better. I know it's a lot smaller, but just thinking about your view in terms of the mix of contribution to the top line for the full year. And then, and then a follow-up on the margins, just kind of curious how you're thinking about operating margin expansion long-term, and the leverage you can pull in order to get back on track with respect to margin expansion because obviously, pricing is a piece of that. But mix is not as big of a factor for you guys relative to some of your peers and then you're already still good at overhead controls. So, just wondering how much you can push on the G&A or the S&A as an offset. Thanks so much. Appreciate it.
Matt Farrell: Yes, Olivia, you squeezed in a multi-port half a dozen questions there as you're walking off the stage. I'll start with the SPD. As far as the SPD business goes, yes I had a really good quarter last year, the quarter was up 3%, this year up 10%. But if you look in the release, you see that price was half of that growth. So we have been raising prices in SPD. It probably were the earliest as for of all three divisions of raising price, specialty products and that's both on the animal side and also on the bulk sodium bicarbonate side. Bulk sodium bicarbonate is oftentimes a contracted business, but the non-contracted line, we've been raising price. So that's a steady business, had a good quarter. It will have a good third quarter as well.
Rick Dierker: Yes, one thing I'd add to that, Olivia, is our outlook for the divisions, we told you last quarter was -- domestic was 4%, international was 6% and SPD was 6%. I think if we had a rejigger that today, it would be more like 3%,6%, 9%, so domestic at 3% largely because of the supply constraints. International consistently at 6% and then SPD now is at 9%. As far as your gross margin question, look, I think you're right. Pricing over the long-term recovers the inflation and so that is a good guy and a bad guy and they kind of wash over time. Look, we have a lot of confidence in our evergreen model and it's only 25 basis points of expansion. So we're going to get that over the long term through productivity, through innovation and through mix and we're doing a lot of work internally on mix actually and using technology to trade optimize and product optimize across retailers and so that work is ongoing, but those are three levers that we have.
Olivia Tong: Thank you.
Operator: Thank you. Our next question comes from Steve Powers with Deutsche Bank. Your line is open.
Steve Powers: Hey guys, thanks. You gave your comments on the supply constraints in the issues [ph]. Two questions to follow up. First, and you talked about this a bit on litter but is there a way you can frame or clarify the issues relative to the competition, whether you're -- are you saying you're disadvantage on this front and that served as a concern or not really, number one. And then number two, if these constraints endure longer than you expect, is the playbook pull back on marketing for longer and at what point would that become a concern, not saying that it is now, but just, at what point do you get concerned on that front? Thanks.
Matt Farrell: Yes, your question about litter, now we…
Steve Powers: It wasn't really -- sorry, Matt -- it wasn't really about litter. I think you had mentioned that you share the same issues on litter as competition, but just generally, is it you or is it, everybody?
Matt Farrell: I think we have different issues. We don't have the same issues as a competitor. We just happened to know that there is some supply constraints that they're dealing with that are affecting their ability to ship. That's all. I think everybody has [ph] got issues.
Steve Powers: Yes. And in other categories, is it -- again, is it everybody or is it you, if the issues differ?
Matt Farrell: Well, as you know, the Texas freeze isn't just us. Most of those chemicals affect lots and lots of companies and lots of competitors. So I would say on the chemical side and transportation side, it's very similar between us and competitors and labor shortages as well. If you have suppliers and co-packers that's universal. So I don't know that there's anything that's unique to Church & Dwight.
Steve Powers: Okay, great. Maybe, Rick on marketing.
Rick Dierker: Yes. On marketing, I think we've been very clear when we look at all of our forecast and all of our internal information, we think we're going to be recovered by late Q3, early Q4. We think the market is good, demand driving activity and kind of healthy that we have put price increases other for the back half. So we want to make sure we're supporting our brands in a healthy way; 5 of 13 brands gained share and part of that was, is lower than normal and part of that's because there supply constraints. So we want to make sure that once that's not a factor that we're supporting the brands like we should and that's the plan. If for some reason, supply constraints last longer, then of course we would adjust as necessary.
Steve Powers: Okay. And then, just real quick on the tax rate, do we -- is the expectation that we revert back lower beyond 2021 or is the higher tax rate to be extrapolated?
Rick Dierker: Yes, the core issue with the tax rate is really, it all comes down to stock options exercised and typically we've had around $2 million stock options exercised every year, If you go back and look for many years. In 2020, it was $3 million and our forecast this year is a little less than $1 million now and so we think perhaps due to the run-up in the share price last year that was really maybe a pull forward every year with the stock options, potentially. So we think that will normalize back to 2019 levels is the quick answer.
Steve Powers: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Bill Chappell with Truist Securities. Your line is open.
Bill Chappell: Thanks, good morning.
Matt Farrell: Hi, Bill.
Bill Chappell: So maybe oversimplified but I need that because I'm fairly simple person. Is it safe to say just commodities and input costs were kind of moving higher when you last reported in late April, you're kind of taking a best guess of where they would play out for this year, they kept moving throughout the quarter, but did peak at some point in the quarter. So now you have a lot more confidence, kind of where pricing and costs are for the remainder of the year, is that the right way to look at it?
Rick Dierker: I think that's one aspect of it, Bill. I think that's a good way to say it. And then also, we've had more broad based inflation beyond commodities than we expected. I used the example at our Board meeting, how we've never talked about pallets in the history of me being here for cost impacts and our pallets went up by $2 million bucks in the back half. So it's just really broad based, although the third-party manufacturers are passing on the 2% to 3% to 4% issues that we've been talking about. So I think we have a great handle on it now and meanwhile, what are we doing about it, we've -- we're qualifying a lot more suppliers, just to have backup redundancies and flexibility.
Bill Chappell: And on the cost side, do you feel like there is any disadvantage, in terms of your scale and I see that if you're a $5 billion business, but really, you're fifteen $300 million to $500 businesses. And so, I just didn't know if the suppliers are treating you differently versus maybe a $1 billion competitor or if it's kind of across the board fairly similar?
Rick Dierker: Yes, I think this is across the board. It's pretty broad based. I think if you look at, and you have -- other peers in the industry right now, even some of our European partner's -- peers, then it's really broad based and it's across the spectrum, doesn't really matter if you're a $2 billion to $5 billion or a $50 billion company.
Bill Chappell: Got it. And then one last one, kind of follow up, I don't typically ask about the M&A pipeline. But with the sheer number of specs and consumer-focused specs with the IPO market being fairly prolific. I mean, is it kind of safe to say that some of the traditional $203 million to $500 million revenue businesses that you would target are less likely over the foreseeable future. Just because they have other options. I imagine, most of these companies are getting an offer a day to go public, one way or the other, so just any thoughts there.
Matt Farrell: Yes, there is a lot of logic in that, Bill. There is no question that there are other destinations like SPAC's that companies looking to monetize their investment can take, but based on what we're looking at right now, but what's coming to market and will be at auction, we think we'll have plenty to look at least in the next six months.
Rick Dierker: Yes, keep in mind, similar to private equity. Bill, I mean SPAC's are the same. We have an ability to pay more typically because of the synergies that we can generate. So, that's always now when it's a down in the middle acquisition that's always a great benefit.
Bill Chappell: Got it. Thanks so much for the color.
Matt Farrell: Okay.
Operator: Thank you. Our next question comes from Andrea Teixeira with JP Morgan. Your line is open.
Andrea Teixeira: Thank you. Thanks, guys. So, first on international and then a clarification on the cost outlook. On the international side, I know it's a smaller portion, but we dedicated most of the time for US, so I wanted to just see like the US, the 6% growth that you just reiterated for international because obviously, that's the long-term algorithm. But given that you had a very strong start of the year and how are you seeing given that you're -- you've got this like more conservative guidance for offline in the back half. So what, and you obviously up against on mid-teens comp for the balance of the year. Are you assuming that it goes negative in the back half? So I want to clarify that. And also on the new guidance, Rick, you were expecting commodities, are you betting that commodities and transportation will ease or you're assuming that they will stay as we see on [indiscernible].
Matt Farrell: Yes, talking about international, for starters. So we've had a good second quarter. We're seeing 6% for the full year and, but we are cognizant of the fact that we see intermittent shutdowns in many of the markets where we have businesses. So we have to keep that and get that in mind, and we get this delta variant as well, which will result in even more -- furthermore expansive lockdowns and effect on consumer mobility in international markets. So that's what tempers our in enthusiasm.
Rick Dierker: And in terms of comps, Andrea, you do have to be mindful of our growth rates a year ago international right. In Q2 a year ago, we were flat, we were 0.6% on organic growth. And so the 10.4% this year, it's very impressive. It's off a flat prior year. Q3 and Q4, last year the back half was mid-teens. So 13% growth. And so if you look at our guidance, it implies not a 5% or 6% growth in the back half. But when you do the stack, It's actually it looks like the international business is very, very strong. And then, your second question was really on the commodity outlook. Well, as of right now, I can I just went through some of the numbers with the latest expectations on resins as an example and paper and diesel. Right now, our outlook implies that the commodity stay where they're at today. We're not banking on a decline or our movement down on commodities for the balance of the year.
Andrea Teixeira: Okay, that's great. Thank you. I'll pass it on.
Matt Farrell: Okay.
Operator: Thank you. Our next question comes from Lauren Lieberman with Barclays. Your line is open.
Lauren Lieberman: Great, thanks. Good morning. I know it sounds, a lot of that supply chain, but I had to just follow up I think in the line of question that Bill Chappell embarked upon. I mean my question, looking at what happened this quarter and what you're talking about is just if there isn't something to consider. In terms of, you guys just running too lean, right, I mean that's been a hallmark of the way that you operate the business, but when you look at this quarter and the conversation on supply and so on, it feels like you've exposed yourself to business risk that other companies are frankly finding their way to manage through. So maybe it's too early to talk about, but just thoughts about how, looking forward, you might want to set up differently so that you can better weather these sorts of storms.
Matt Farrell: Yes, well, I'm surprised that would be your conclusion considering that we're seeing that our full year organic is going to be up 4%, it's going to be the fourth year in a row that we have organic sales of 4% or better. And in spite of the fact that we have $125 million in unplanned incremental costs that our full year range of 6% to 8%, we find our way to 6%. So I would say that the Company has proven that its resilient actually, faced with those kinds of cost increases. And I think it's temporary with respect to the supply issues and we will get that will be behind us at some point, but yes, go ahead.
Rick Dierker: A little bit I would add is, look, some of our competition is vertically integrated in some aspects of their supply chain and some of these examples. We're not vertically integrated. We've chosen not to do that. We don't think it makes much sense. In times like this, it might hurt a little bit, but overall, we're doing the best we can to move our -- whatever we did -- three to four new suppliers and add 90 more, add the flexibility and the capacity there. So our flex capacity as we exit this COVID-type environment is going to be greater than it's ever been before.
Matt Farrell: Yes, it's a good point. I know it's -- that's not a throwaway comment over the past 18 months, we've qualified 90 additional suppliers and co-packers. So that as we, as we come out of this, we're going to be far more resilient and that started last year when we saw where we're that -- how COVID exposed some of the weak links in our supply chain.
Lauren Lieberman: Okay. Thanks, Rick, Matt, that's exactly what I was asking and looking for. Next question was just on gross margin. I'm actually having a little bit troubles like play around with numbers in the sequential improvement that you're talking about because volume I would think. I know you get pricing coming in, but volume will be a little bit challenge on that price volume mix line, I guess the implied sequential improvement and then also, I guess the commodity headwind. I just -- I don't know if we, the best way to attack it, it might be offline, but kind of the big sequential changes in the gross margin bridge that help you get to and I think you said modest expansion in 3Q that would just be helpful.
Rick Dierker: Yes. So maybe what I'll do for right now is just give you the second half Kind of gross margin bridge and of course, Q3 will be, it will be positive. It will be slightly positive, more of the margin benefits in Q4 as we fully lap or fully have the price benefit but the second half gross margin outlook. The first half is down 230, the second half is up 80 and price volume mix is a tailwind of what we think is 285 basis points. Inflation is a headwind of around 285 basis points. We have incremental tariffs of 35 basis points, which is a little bit better than it was in the first half because we had tariffs starting to year ago. We have productivity programs of around plus 85, the acquisition for ZICAM helps on margin by about 40 basis points and then currency is a bit of a drag. So that's how we get to plus 80 in the back half.
Lauren Lieberman: Okay, that's super helpful. And then final thing which is on the incentive compensation call out this quarter. I guess I was curious if that was at the outset of the year, what you had anticipated or is that something that was a true up this quarter and how to think about that in terms of SG&A for the balance.
Rick Dierker: Yes. I know it's an impact on the quarter, it's impact on the full year. It's probably why our SG&A is down and in both cases for the quarter and full year, and that wasn't expected but it's a reality now because we're one of only and were the exception in industry that has gross margin tighter and some of comp and right now, our gross margin is down 75 basis points that was not the plan, that was not incentive plan. And so that has a favorable impact, unfortunately, on the SG&A numbers.
Lauren Lieberman: Okay, understood. Thank you so much, both of you.
Operator: Thank you. Our next question comes from Chris Carey with Wells Fargo Securities. Your line is open.
Chris Carey: Hi, thank you. I just wanted to clarify a couple of things around pricing. I think you said your main competitor or a large competitor litter has already priced. Clearly, there is some revenue growth management initiatives by competitors in laundry. And so those are two categories where presumably it seems people -- companies have already moved and then you're moving. So is there a read there that you're comfortable following with pricing, and so you want to see pricing happened in other categories first, I suppose just to confirm whether I heard that right. And then just connected to that, it sounds like pricing in laundry is going okay early days, but you also have supply issues in household and that it sounds like it's mainly in areas where it's like components or could supply chain issues actually have an issue on getting pricing through in laundry if you start to experience some out-of-stocks, so just some clarification and further perspective on some of those line items would be helpful.
Matt Farrell: Yes, Lastly, the pricing has been accepted by the trade in laundry. So that's sort of behind us right now. Litter is ahead of us, that's going to be taken effect in Q4 but we think both for laundry and for litter by Q4, we'll be out of our supply issues. You had a question about raising price and not just in laundry and litter but in other categories, which we have. So for example NAIR, OXICLEAN stain fighters, baking soda, we announced one variant of TROJAN condoms, WATERPIK, will be raising price as well. So, we've been able to -- we're announcing price increases in many categories. And keep in mind that we are the number one brand in stain fighters, depilatories, water flossers, baking soda et cetera. So we do have some strength and the ability to lead there. So, I think that's -- and your other question with respect to the, what are the issues with respect to laundry. I mentioned earlier in my comments that because of the Texas freeze, there's issues with chemicals and that affects both liquid laundry detergent and unit dose and we expect that to be abating as well and I don't expect that the shortages to impact our ability to succeed and pushing through price.
Chris Carey: Okay, thanks so much. If I could just squeeze one and again keep it quick. Your promo and coupon has been rollout lever for Church & Dwight because of cutting it less than some of your competitors, have you exhausted that flexibility that you did have in the P&L in the back half, said another way, I think, you're couponing and promo levels closer to peers or does that remain a lever at your disposal if things get worse?
Matt Farrell: Yes. Well, my comment -- yes. I mentioned earlier on litter -- the litter category sold on deal is around 12%-13%. So whereas historically it's around 19% to 20%. So we and competitors are all have had depressed sold on deal and with our announced price increase and another competitor has, we've seen price increases as well, we don't expect that to change in the second half. And as far as the laundry goes, It is -- we are up quite a bit year-over-year, 700 basis points. We're not as high as our competitors, nor do we expect to be at least for the next 90 days be as our price increase has to take hold. We don't want to detract from that with promotions.
Chris Carey: Okay, thanks so much.
Matt Farrell: All right.
Operator: Thank you. And that's the last question of the day. I would now like to turn the call back over to Matt Farrell for closing remarks.
Matt Farrell: Okay. Well, thanks everybody for joining us today. We'll talk to everybody again in 90 days and we'll see how the Q3 went; so talk to you at end of October. So long.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.